Operator: Thank you for standing by. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Uber Q1 2024 Earnings Conference Call.
 [Operator Instructions] I would now like to turn the conference over to Deepa Subramanian, VP of Investor Relations and Corporate Finance. You may begin. 
Deepa Subramanian: Thank you, operator. Good morning, and thank you for joining us today, and welcome to Uber's First Quarter 2024 Earnings Presentation. On the call today, we have Uber's CEO, Dara Khosrowshahi; and CFO, Prashanth Mahendra-Rajah.
 During today's call, we will present both GAAP and non-GAAP financial measures. Additional disclosures regarding these non-GAAP measures, including a reconciliation of GAAP to non-GAAP measures, are included in the press release, supplemental slides and our filings with the SEC, each of which is posted to investor.uber.com.
 Certain statements in this presentation and on this call are forward-looking statements. You should not place undue reliance on forward-looking statements. Actual risks may differ materially from these forward-looking statements, and we do not undertake any obligation to update any forward-looking statements we make today, except as required by law. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today as well as the risks and uncertainties described in our most recent Form 10-K and in other filings made with the SEC.
 We published our quarterly earnings press release, prepared remarks and supplemental slides to our Investor Relations website earlier today and we ask you to review those documents, if you haven't already. We will open the call to questions following brief opening remarks from Dara. With that, let me hand it over to Dara. 
Dara Khosrowshahi: Thanks, Deepa. Our results this quarter once again demonstrate our ability to deliver consistent, profitable growth at scale. Uber is off to a solid start in 2024 with trips up 21% year-on-year, consistent with our gross bookings growth rate on a constant currency basis. Our audience expanded by 15%, while frequency grew 6%, underpinned by 7.1 million drivers and couriers on our platform. At the same time, record adjusted EBITDA of $1.4 billion grew 82% year-over-year, and we generated $4.2 billion of free cash flow over the last trailing -- over the trailing 12 months.
 We're making good progress on many of the initiatives we laid out for 2024 in our last earnings call. Demand for Uber remains strong. And just last week, we hit another best week ever for gross bookings, and we expect to deliver another quarter of over 20% year-on-year growth on a constant currency basis in Q2.
 With that, operator, can you open up for questions? 
Operator: [Operator Instructions] Your question comes from the line of Justin Post with Bank of America. 
Justin Post: I guess, Dara, a lot of press on Tesla and robotaxi efforts lately. How are you thinking about AV impact on Uber and potential for new competition?
 And then maybe, Prashanth, it looks like stable bookings growth outlook in the low 20s in the second quarter, excluding FX. Anything to call out on headwinds or tailwinds? And any changes to your outlook, mid- to high teens growth, as you think about bookings in the second quarter? 
Dara Khosrowshahi: Prashanth, you want to talk to the second question first... 
Prashanth Mahendra-Rajah: Yes, why don't I -- let me get that one out of the way, Justin, and thank you for the question. So just a recap for how we'd like folks to think about our gross bookings. Remember, the growth algorithm is audience, which is a measure of how many users of the product; frequency, how often are they using the product; and then, of course, pricing. Dara just mentioned that for the first quarter, we had very strong audience growth, up 15%. Great growth in frequency as well, up 6%. And pricing relatively flattish.
 So we see similar trends expected for the second quarter, and that's what's implied in the guide in terms of the composition of that growth algorithm. Demand for the products remains strong. I think we're expecting another quarter of pretty consistent scaled top line growth of over 20%. Actually, if you think of the guide that we gave for Q2, it's almost identical, both at the midpoint and at the range to what you gave -- what we gave for Q1. So very consistent performance, and we're exactly where we want to be with respect to the 3-year CAGR outlook that we gave you in February.
 Maybe just a little bit of color on the Q2 guide. We included in the press release some notes on FX headwinds. So we want -- I did want to call that out. We've got about 5 percentage points of headwind to Mobility's year-over-year gross booking growth, primarily coming from the Argentine peso. So said another way, we still expect Mobility to grow in the mid-20s range at a constant currency basis.
 I'll also highlight that in the prepared remarks, I made a comment about this, we expect Mobility's adjusted EBITDA margins to be down slightly quarter-over-quarter given that we did hold back some investments in Q1 and we would not do the same here for Q2. So with that, let me pass to Dara, and he can take the AV question. 
Dara Khosrowshahi: Justin, in terms of AVs and our strategy, it really remains the same. First thing I would say is that we think that the AV technology at maturity is going to be very good for the industry. It will be great for Uber. It holds a promise of safer rides. It holds a promise of expanding the marketplace by lowering prices and making mobility, delivery available for a wider swath of the population. And usually, when we see kind of lower prices for any service, you see higher adoption for a service, and that really is the promise of AV.
 At the same time, we think that the technology is going to take a lot of time to develop. Obviously, there has to be a regulatory framework to put in place. And as the technology develops, we think that actually you're not going to make a jump from one tech -- human drivers fully to AV. There's going to be a relatively long period, a transition period that happens. Where for example, on Uber, you see it now, you have a combination of human drivers during -- human drivers fulfilling certain rides or deliveries or even loads on the trucking side along with AVs as well. And over period of time, you'll see kind of the penetration of AVs increase. I think it's very difficult to predict that period of time.
 But really, what we bring is the systems that we put in place, the pricing, matching, routing algorithms, the payments systems that we have on a global basis as well as the demand that we bring that enables us to partner with these AV providers to really drive utilization of their assets, this is very expensive tech that's been developed over a long time. And if you're an AV fleet owner or you are an individual owner of a car, whether that's a Tesla or another kind of car, you're just going to make more money and make a higher kind of return on your investment if you plug in your AVs into the Uber ecosystem and into Uber demand.
 So we think we bring lots to the table. We're looking to partner with the AV industry. I do think that there's a good amount of excitement over some of the newer technologies and kind of the imitation models that we see in terms of AV. And you see that promise with Tesla's FSD. It looks like a great product. And also, you see that same promise in a lot of smaller players, whether that's a Wayve in the U.K. who got funded for $1 billion, a Waabi that, for example, we have investments in, these imitation learning models have a lot of promise over kind of the more classic heuristic-based development that you saw with AV.
 And we think it's going to allow more players into the marketplace. We think it's going to reduce the amount of capital required to develop these systems over a long period of time. And we're looking to partner with big players and small players. And again, as this technology develops, we think we will be a big partner in it, and we think, ultimately, it will benefit AV players and it will benefit ourselves and riders and eaters as well. 
Operator: Your next question comes from the line of Brian Nowak with Morgan Stanley. 
Brian Nowak: I have 2. The first one, Prashanth, I want to go back to that -- the comment in the prepared remarks that you just referenced about intentionally holding back some investments with lower ROI. Can you just sort of help us unpack it a little bit? What areas of investments did you hold back on? And sort of how do we think about the driver-versus-rider incentives or investment strategies as you go throughout the course of the year to drive durable growth?
 Then the second one, sort of wanted to hone in a little bit on Latin America. There's been some comments from one of your competitors in Latin America about potentially pulling back investment there. One, I'd be curious to hear about your -- what you're seeing in Latin America. And just remind us, what was the base case outlook for Latin America in the Analyst Day guidance that we got in February? 
Prashanth Mahendra-Rajah: Thanks, Brian. Let me start then. So maybe as a reminder, when we think about investments on a quarterly basis across the market, we think about investments as what do we need to do to encourage drivers and couriers to come on to the platform, what can we do to be helpful to bring merchants to the platform. And then lastly, what can we do to encourage consumers. So we rotate among those 3 on a quarterly basis based on what we are trying to drive in the different markets in which we operate.
 For the first quarter in Mobility, because of the seasonality trends in the first quarter, the return we get on some of those investment dollars tends to be lower than we see later in the quarter just because of seasonal patterns. And because that ROI is lower, it didn't make sense for us put as much into the first quarter as we would in other quarters. So you'll see us ramp that back up in 2Q. We called it out purely to keep folks from running too far ahead with enthusiasm on Mobility margin improvement. We are very confident that Mobility is still on a great trend for continuous margin improvement. But just from a timing standpoint, we didn't want to -- we wanted to acknowledge some of the lumpiness that you are likely to see. 
Dara Khosrowshahi: Yes. And I think in terms of Latin America and the competitive environment there, first thing I'd say, I'm assuming you're asking about Mobility, we're seeing very healthy Mobility volume growth in Latin America, in mid-20s. So we like the market, and we certainly like the volumes that we're seeing there. I would say that while -- I think you're referring to DiDi, they signaled a bit more capital discipline, we're not seeing that as of yet. We see DiDi being highly competitive in the marketplace and spending into the marketplace quite aggressively. Listen, it could be temporary. It might be driven by their desire to show international growth as the China markets have slowed down a bit as the prep for the IPO, but it's difficult for us to speculate on that.
 And I'd say, we've seen this behavior before, Brian. And we have a very strong record of effectively responding to defend our category position when our competitors spend up and we do the same thing, and typically, we're much more efficient than our competition in terms of financial efficiency, network efficiency, et cetera. But at this point, we see DiDi leaning in, certainly not leaning out. And we are leaning in as a response, just like we do with other competitors all around the world. The good news for us is we have a very strong P&L, you see our margins continue to increase, so we have lots of pockets of investments to reach into, but we are going to be aggressive. 
Prashanth Mahendra-Rajah: Brian, just to shout out for the note last week, I thought that was nice. And we're very much aligned with the more public participants in this market, the better it is for everyone. 
Operator: Your next question comes from the line of Doug Anmuth with JPMorgan. 
Douglas Anmuth: I just wanted to go back to the decel that you saw in monthly trips for MAPC in 1Q. Just hoping you could unpack that a little bit in terms of LatAm and some of the holiday impact there and what that means in 2Q.
 And then, Dara, can you just talk more about your Delivery strategy in the suburbs, the key levers to success there? And then how you think the Instacart partnership fits in as well? 
Prashanth Mahendra-Rajah: Yes. Let me take the first part of that. So again, the Mobility gross bookings growth for the first quarter was -- on a constant currency basis was 26%. Included in that 26% is about 1 point, whether you look at it sequentially or on a year-over-year basis, that came from us deconsolidating the non-ridesharing portion of our Careem business in December. Remember that used to be included in Mobility's results. And when we split that out, you have it in the compares, but you don't have it in Q1. So that's roughly about 1 point.
 And then from a more seasonal impact, we'd call out 2 items. First, in Latin America, last year, we saw stronger demand in Brazil around Carnival that we did not see recur in Q1 of this year. And then from a timing standpoint, both Easter and Ramadan shifted on us between the quarters. So again, on a comp basis, that creates some lumpiness. But overall, I would say that we are very much -- remain confident on the growth of the Mobility business. Again, mid-20s year-over-year at constant currency for Q2. Sort of very consistent with what was done in Q1. And the -- as we mentioned in Dara's opening remarks, audience and frequency are both strong at the overall Uber level and remain very strong at the individual LOB levels. 
Dara Khosrowshahi: Yes. And Doug, in terms of our suburban strategy for Eats, it's very similar to our general strategy for our Delivery business on a global basis. We're very happy about our growth rates here, 17% constant currency growth rates for the second quarter in a row. Our U.S. growth rates are higher than that -- our U.S. and Canada growth rates are actually higher than that, which we're quite happy about. And generally, we are growing faster in the suburbs than we are in urban destinations, where we have higher penetration.
 And it's about getting the basics right. Building an audience and a brand, increasing selection, making sure we've got pricing right and making sure the quality of the service continues to be high. And really with the Instacart deal that we have, represents the addition of a very high-quality and highly targeted audience, suburban audience, to the Uber Eats ecosystems and to our merchants. And we think that additional demand from this high-end consumer is going to be welcomed by our merchants. And at the same time, we continue to increase, for example, penetration with Domino's and a bunch of other merchants in the suburbs. 
 So we think that we're well positioned to continue to grow into the suburbs, and we definitely think that the Instacart deal puts us in a better position for growth going forward in the suburbs. 
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs. 
Eric Sheridan: Maybe a 2-parter on Uber One. Would love to learn anything that you've sort of continued to evolve and develop with respect to Uber One internationally as some of those markets have rolled out and they've begun to scale the longer Uber One has been available in some of the more overseas markets?
 And second, you have the call out in the prepared remarks around the subscription revenue run rate, what do you see as some of the biggest white spaces to drive more subscription revenue, but also continue to add more value and depth to Uber One at the subscription layer in terms of incentivizing adoption? 
Prashanth Mahendra-Rajah: Before Dara jumps into that, I just want to remind everyone on what the -- is being referred to. We announced in the prepared remarks that our Uber One membership fees are now in excess of $1 billion. So that's a -- that's the first time we've called that out, but it's a big waypoint for us on our way to continue driving that. 
Dara Khosrowshahi: Yes, Eric, in terms of our strategy for Uber One internationally, it's largely the same as our strategy domestically and globally. It's a global product. We see penetration of Uber One consistently increasing in the U.S., Canada and internationally. Members are now generating 32% of Mobility and Delivery gross bookings, which are nicely up year-over-year. It's over 45% in Delivery gross bookings, where generally kind of were -- more highly penetrated. And I'll remind folks that members spend 3.4x as much as nonmembers per month. So it is a great vehicle for us to drive adoption and drive really attachment with our various services as well.
 We are kind of working on a bunch of pretty exciting new initiatives. One that I would call out is continuing to optimize on the use of Uber Cash on the Mobility side. On Delivery, you get a discount on -- you don't have a delivery fee, you get a discount on your food often. With Mobility, you get back Uber Cash. And actually, 25% of Uber Cash earned on Mobility in the U.S., for example, is being redeemed on Delivery, and that's up from the mid-teens when we originally rolled out the benefit. Business riders also get Uber Cash, which is pretty cool. And we're seeing over 60% of the Uber Cash that's earned on Mobility actually redeemed on Delivery as well.
 So we think that membership is a powerful lever in terms of general penetration into our marketplace and the frequency growth that we're seeing, but it's also a great lever in terms of using Uber Cash and introducing more of our users to the Delivery benefit as well. In terms of Mobility, we do think that we can penetrate more deeply into Mobility and like we're now introducing cash-back accelerators, where you can increase the cash-back amount for any product to the extent that we're trying to drive a product or quest that encourage users to use more premium products as well but carry higher margins for us.
 You will see more member exclusives coming up where members have exclusive access to events and experiences, which will kind of surprise and delight our members. And then lastly, I would say that we are now moving more of our members on a global basis to annual pass. Annual pass actually results in significantly higher retention rates. So we'll cut the -- our members are able to save money, so to speak, and we see it in the retention benefits. And that has resulted in retention increasing nearly 200 basis points on a year-on-year basis in March, for example.
 So there's a lot going on. We think we are -- there's a ton of white space as it relates to our membership product. We're very pleased with $1 billion in revenue, but we think that there's a lot more growth there in membership generally and in terms of membership revenue. 
Operator: Your next question comes from the line of Nikhil Devnani with Bernstein. 
Nikhil Devnani: Dara, I wanted to ask about U.S. rideshare growth. First, is it keeping pace with your mid-20s growth overall for the business? And then second, can you talk a bit more about where the growth is coming from? Obviously, the service is not new anymore. So it feels like it's more frequency led but is there still a healthy supply -- or healthy funnel, sorry, of new customer acquisition that you're still finding maybe it's suburbs or smaller cities or new demos, however you want to frame it. But just your overall thoughts on how this growth sustains would be very helpful. 
Dara Khosrowshahi: Yes. See, in terms of U.S. Mobility growth, we don't disclose U.S. versus non-U.S. But obviously, by the overall numbers that you see in terms of our Mobility growth, 26% on a year-on-year basis compared to 28% last quarter and 100 basis points of kind of slowdown was because of Careem on a comparable basis. These are very, very high growth rates, and the U.S. is our largest market in terms of gross bookings. So we wouldn't be able to grow at these rates, so to speak, without the U.S. growth being very, very healthy.
 In terms of where Mobility growth is coming from, I'd say the significant -- the most significant part of growth is coming from audience. Our MAPC growth in Mobility was up 17% on a year-on-year basis, overall, 15%. So the audience growth for Mobility is actually growing faster. And one particular area of growth that we're seeing is our new products. When you look at our Hailables product, U4B, our new Health business, Reserve, UberX Share, all of these products, kind of our new growth bets, are growing 80% year-on-year. But at the same time, over 20% of our new customers are coming from this new product category as well. So it's a good business. It's growing very, very quickly, but it's also introducing a whole new audience into our marketplace.
 Last thing that I would add is that with the pandemic, I think a lot of people who were kind of commuting to work, et cetera, stopped commuting. We have lost some of our most frequent customers. We see the weekday commute use case being particularly strong as people are coming back to work. Some folks may not like that, but we love it here at Uber, people getting back to work and getting back to the office. So there is an audience who kind of stopped using us as frequently as they used to. We were kind of a daily habit. And hopefully, we will see that audience come back, and we're seeing evidence of that in terms of the weekday volumes being super strong. 
Operator: Your next question comes from the line of Ross Sandler with Barclays. 
Ross Sandler: Great. The prepared remarks flagged a bunch of new features in the advertising business, enterprise features. So can you guys give us an update on where we are with the non-restaurant advertising as a percentage of just the total advertising ARR?
 And then somewhat related, with the new Instacart partnership, can we sell advertising against that engagement? And I guess just how does the Instacart partnership change your own -- your kind of O&O efforts in U.S. grocery? And how are the unit economics going to work in this partnership? 
Prashanth Mahendra-Rajah: Ross, it's Prashanth. Let me start just with a couple of data points and then hand off to Dara. First, as a reminder to everyone, we hit a $900 million run rate for advertising in Q4 of 2023. We do not break that down between Delivery and Mobility.
 And then on the Instacart arrangement, as Dara had mentioned and we discussed yesterday, when folks click through Instacart and they come to the Uber Eats WebView app, that was -- our ads and those are our -- that's our space to use and monetize. So with that, let me pass off to Dara to make some more comments. 
Dara Khosrowshahi: Yes. In terms of the non-restaurant advertising, listen, it's still really in nascent stages. So we talked about restaurant advertising getting to 2% of gross bookings. We actually think that our sponsored items, product, for example, grocery, can get the higher percentages of that. Instacart, for example, we think, is in the mid-2s in terms of advertising as a percentage of gross bookings. And we fully launched out our sponsored items in the U.S. and Canada, and now we're scaling it in 8 additional priority markets in 2024.
 So I'd say like sponsored items is where we were in sponsored listings for restaurants 3 years ago. We gave you a very clear growth map to $1 billion in terms of revenue, and we're going to beat that this year. And we're quite confident we can start moving in a similar direction as it relates to nonrestaurant-sponsored items in the grocery space. We're already active with about 500 top CPG brands, and we're seeing very strong retention as we expand. And really, it's going to be about the growth of the underlying grocery platform. 
 As we increase grocery audience -- this last quarter about 15% of our monthly actives on Eats bought from grocery. That's up nicely on a year-on-year basis. As that audience increases, we think we can monetize that audience with the base business. But with advertising just as we've done with restaurants, and we think it's -- it can be an enormous opportunity, and it can be a high-margin opportunity as well.
 I would also point out that we're quite bullish on a rider ads. We're seeing very strong engagement from riders, a click-through rate of about 2.5%, more than 2.5% compared to an industry average of less than 1%. So video ads and tablets continue to be a very promising growth area for us, and we're quite happy to see the progress there. 
Operator: Your next question comes from the line of Mark Mahaney with Evercore. 
Mark Stephen Mahaney: Two questions, please. I think in the prepared remarks, you talked about delivery, MAPC growth accelerating in markets like the U.S. Can you go into the -- why MAPC growth accelerated for you? And then secondly, in Delivery, grocery and retail delivery, can you talk about what impact that's having on segment margins or what the unit economics are there -- are like there? Or yes, how much of a drag or when do you see a path to profitability? And maybe it's already there for those 2 segments, but just talk about the impact of those 2 segments on the Delivery's overall profitability. 
Dara Khosrowshahi: Yes, Mark. So in terms of delivery growth and audience growth, this has been pretty consistent, right? We've accelerated the growth rate of our Delivery business. It was growing closer to 10% early last year. It's now growing in the teens. And we think the nature of that growth is improving as well, which is most of the growth last year was on price. Now actually, price is a relatively small portion of the growth, and audience and frequency are the largest portion of the growth in Delivery. And it is about just getting the basics right. It's about having a great service, having a significant selection, or selections. Active merchants is up 12% on a year-on-year basis.
 It's about improving pricing. So for example, merchant-funded promos, these are -- merchants put in promos, pricing promos into the marketplace in order to drive volumes. Those are up 100 basis points on a year-on-year basis. Again, lowering effective price to the consumer. And then it's about quality. We continue to improve our defect rates. All that adds up to higher frequency, higher retention of audience. And we continue to spend aggressively in terms of marketing our brand. We think the Uber Eats brand is a top brand out there. And then on top of that, of course, we've got the unique platform benefits of our Mobility business that continues to grow audience, throwing over some of that audience to our Delivery business.
 So this is all part of the formula that we have in this journey that we've been on over the past couple of years. We're able to do so while we're increasing margins because of the efficiency that we are getting in our marketplace, because of the efficiency, the kind of structural benefits that the platform brings, and we see no signs of that slowing down. Prashanth, do you want to talk about grocery, retail? 
Prashanth Mahendra-Rajah: Yes. I'll take the last part of that. So we remain very positive on grocery and retail. The business growth remains quite strong. GBs are up about 40% on a constant currency basis. Once again, 40%, so very strong top line there. And despite that very strong growth, we were still able to expand our Delivery EBITDA margins by about 20% sequentially, and that was partly contributed to by improvement in the profitability of the grocery business. So it is still not where we want it to be. It's still not at a positive EBITDA margin, but it is improving both year-over-year and sequentially, and we feel very good about the path we have to getting to profitability on grocery.
 It's going to come from a couple of items. First, the power of the platform, which we refer to quite frequently here. About 15% of our Delivery users are ordering on -- are ordering groceries, and that's up set from where we left Q4. Continuing to see opportunities on ads, which are great margin accretive for us as we bring those CPG players into the platform for grocery advertising. Being able to lower some of the consumer promotions we have. So overall, a number of different drivers. And we think that grocery will eventually be a very strong part of the overall portfolio.
 With that, I think we have time for our final question, operator. So if we could go to that. 
Operator: Your final question comes from the line of James Lee with Mizuho. 
James Lee: Two here on Delivery. Can you guys give us an update on maybe the European gig economy regulation, maybe what policy we should pay attention to, and how should we think about implication of labor costs? And maybe on the U.S. side, can we get a sense of the impact of minimum wage in Seattle and New York on GB and EBITDA? And how do you guys plan to mitigate impact going forward? 
Dara Khosrowshahi: Yes. As far as the EU platform work directive, EU lawmakers essentially voted to maintain a status quo there, with platform worker status continuing to be decided on a country-by-country basis. Member states have until mid-2026 to implement that. And we think that the deal is really unlikely to bring major changes to the current situation in the vast majority of EU countries. And for us, our view remains the same, which is we believe that we should bring kind of the flexibility that gig works brings to couriers, to drivers in the marketplace, along with certain protections that we kind of talk to and have discussions with on a local basis. So we really don't see any changes coming in terms of the EU.
 In terms of the -- Seattle and New York, I think some of the regulation that we've seen has actually been very unpopular with couriers, restaurants and customers. So for example, we saw in Seattle, which is a relatively small market for us, Delivery order volumes decreasing by 45%, which has resulted in courier wait time actually increasing 50% on a year-on-year basis. So couriers may be making more per order, but they're getting a lot less orders, which has resulted in 30% of active couriers actually leaving the platform, which I think is certainly not what the City Council had in mind.
 So we're actually seeing the City Council in Seattle, for example, bring forward a reform in Seattle to make the standard lower and much more viable for the platforms. We're not there yet. But there's a vote coming up in -- I think it's actually tomorrow, and we think we'll have a positive outcome there. And it's important that it's a positive outcome for couriers and restaurants and customers, because certainly, the Seattle -- the regulation that has been in place in Seattle has clearly been poor regulation that has hurt the people that they're supposed to protect.
 We'll see what happens in New York City. Unfortunately, again, in New York City, we have had to essentially slot couriers, and we've got a waitlist of over 20,000 couriers who want to be on the platform. But because of that regulation, we've had to reduce the number of couriers on the platform by close to 25% since the standard went in place. So less people get to earn in New York, we don't think that's a good thing.
 Now again, we have been able to absorb the financial hit of all these different regulations in our platform. You've seen in our profitability, which is up over 80% in Uber Eats on a year-on-year basis. So we're a big company. We have a lot of markets. We're quite diversified. Our technology continues to drive a more effective marketplace that allows us to absorb these regulations. But I think couriers in New York City who want to work, couriers in Seattle who want to work, they're getting hit hard by these regulations, and we're hoping that kind of regulators see the right path going forward because, so far, regulation has definitely hurt the people that it's supposed to protect. 
Prashanth Mahendra-Rajah: Okay. Before Dara wraps it up, I wanted to remind everyone next week is our annual Uber GO-GET. This is our event which showcases new products and features across both the Mobility and Delivery. Obviously, we're not going to get ahead of the announcements, but our theme is togetherness. And in addition to the product piece, we've got a great fireside chat with Dara and Maria Shriver. This will be in New York. So if any of you are looking to get out of the office, please reach out to Deepa and we can see what space we have.
 If you do join us, my only request is you travel by Uber. And with that, let me have Dara wrap it up. 
Dara Khosrowshahi: I like it. My CFO is upselling. And thank you, everyone, for joining us on the call, and a huge thank you for the Uber teams. There's a ton of work that goes into all of the new products that we're launching, into the products that we'll be talking about in GO-GET, and into delivering the kind of growth and profitability that we've seen from Uber over the past couple of years. So a big thank you for the team for continuing to deliver this quarter. 
Prashanth Mahendra-Rajah: Thanks, everyone. Talk to you next quarter. 
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect your lines.